Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2017 Hess Corporation Conference Call. My name is Vince and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Jay Wilson, Vice President of Investor Relations. Please proceed.
Jay R. Wilson - Hess Corp.: Thank you, Vince. Good morning, everyone and thank you for participating in our second quarter earnings conference call. Our earnings release was issued this morning and appears on our website www.hess.com. Today's conference call contains projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in such statements. These risks include those set forth in the risk factor section of Hess's annual report and quarterly reports filed with the SEC. Also on today's conference call, we may discuss certain non-GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures can be found in the supplemental information provided on our website. Now as usual, with me today are John Hess, Chief Executive Officer; Greg Hill, Chief Operating Officer; and John Rielly, Chief Financial Officer. I will now turn the call over to John Hess.
John B. Hess - Hess Corp.: Thank you, Jay, and good morning, everyone. Welcome to our second quarter conference call. I will provide an update on our progress in executing our strategy including a number of major milestones achieved in the quarter. Greg Hill will then review our operating performance and John Rielly will review our financial results. We believe our company has the best long-term growth outlook in our history, as well as one of the best in the industry. It is value driven with an increasing resource base, production growth, lower cost per barrel and improving financial returns. Our growth is underpinned by four key areas; the Bakken; North Malay Basin in the Gulf of Thailand; Stampede in the deepwater Gulf of Mexico; and offshore Guyana. With regard to the Bakken, we have an industry-leading strategic position with more drilling locations in the core of the play than any other operator. We are currently operating four rigs at 60-stage fracs and increased proppant levels should deliver production growth of approximately 10% a year over the next several years. With our productivity and technology improvements, we now forecast virtually the same production growth with four rigs that would've taken six rigs a year ago. We will decide whether to add two additional rigs as originally planned based on an improvement in crude oil prices and the results of our enhanced completions. Second quarter net production in the Bakken averaged 108,000 barrels of oil equivalent per day, compared to 106,000 barrels of oil equivalent per day during the second quarter of 2016. For the full year 2017, we forecast Bakken production to average approximately 105,000 barrels of oil equivalent per day at the high end of our previous guidance of 95,000 barrels to 105,000 barrels of oil equivalent per day due to strong performance by our Bakken team and results of our new completions. In the Gulf of Thailand, the North Malay Basin Full Field Development achieved first production of natural gas earlier this month. Hess is the operator with 50% interest and Petronas is our partner with the remaining 50%. We are still in the process of commissioning the field and expect net production to reach its planned plateau rate of 165 million cubic feet a day of natural gas during the third quarter. North Malay Basin is expected to generate strong and stable production and cash flows for many years to come. In the deepwater Gulf of Mexico, the Hess operated Stampede Development in which Hess has a 25% interest is on track to start up in the first half of 2018. Net production is expected to increase throughout 2018 and reach a peak rate of approximately 15,000 barrels of oil equivalent per day. Turning to Guyana, where Hess has a 30% interest in the Stabroek Block and ExxonMobil is the operator. In June, we announced positive results from the Liza-4 well, which encountered more than 197 feet of net pay. Yesterday, the operator announced successful results from the Payara-2 appraisal well with 59 feet of net pay, which confirms a second giant oil field discovered in Guyana and increases Payara gross discovered recoverable resources to approximately 500 million barrels of oil equivalent. Gross discovered recoverable resources for the Stabroek Block, which include discoveries at Liza, Liza Deep, Snoek and Payara have now been increased to an estimated 2.25 billion to 2.75 billion barrels of oil equivalent. In addition, to the considerable resources discovered to-date, we see additional multi-billion barrels of unrisked exploration potential on the Stabroek Block. In June, we also sanctioned the first phase of a planned multi-phased development of the Liza Field, which is expected to have a gross capital cost of approximately $3.2 billion for drilling and subsea infrastructure and will develop approximately 450 million barrels of oil, with first production expected by 2020. The development will utilize a leased floating production storage and offloading vessel that will have the capacity to process up to 120,000 barrels of oil per day. The Liza Phase I development offers very attractive financial returns and a rapid cash payback with a manageable pace of investment. Hess' net share of development costs is forecast to be approximately $955 million, of which $110 million is already included in our 2017 capital and exploratory budget. Of the remaining net development costs, approximately $250 million is expected in 2018 and approximately $330 million in 2019, with the balance in 2020 and 2021. Our success in Guyana is transformational and positions our company for a decade plus of resource and production growth with improving returns and cost metrics. Funding these growth opportunities requires a strong balance sheet and liquidity position, which remain a top priority for our company. At June 30, we had $2.5 billion of cash and total liquidity of $6.8 billion and we continue to take steps to keep our financial position strong. In April, we successfully completed the initial public offering of Hess Midstream Partners LP resulting in net proceeds of $175 million to Hess Corporation. The MLP structure will allow us to further unlock value with a combination of embedded growth in EBITDA as Bakken production continues to increase and through future drop downs. Hess Midstream Partners LP will announce its second quarter results tomorrow. Our success in Guyana also provides us with the opportunity to consider the divestment of mature higher cost assets, which can accelerate their value while upgrading our overall portfolio and also providing additional funding for our high return growth opportunities. Last month we announced an agreement to sell our enhanced oil recovery assets in the Permian Basin for a total consideration of $600 million. This transaction is on track to close on August 1. In addition, we expect net cash flow to improve over the next several years as our $700 million of annual spend for North Malay Basin and Stampede winds down and these two projects go from being sizable cash users to significant long-term cash generators for the company. In the current low price environment, we continue our efforts to reduce both capital and operating costs. For the second quarter, E&P capital and exploratory expenditures were $528 million and we now project our full year 2017 capital and exploratory expenditures to be $2.15 billion, or $100 million below our previous forecast. It should also be noted that our major growth projects, the Bakken, North Malay Basin, Stampede, and Liza are all expected to have cash unit operating costs that are substantially below our current portfolio average. Now turning to our financial results, in the second quarter of 2017 we posted a pre-tax loss of $425 million, which reflects improved operating results compared to the pre-tax loss of $678 million in the second quarter of last year. On an after-tax basis, our net loss was $449 million, or $1.46 per common share compared with the net loss of $392 million, or $1.29 per common share in the second quarter of 2016, reflecting a lower effective tax rate in 2017 resulting from a required change in deferred tax accounting. Second quarter production was above our guidance range averaging 294,000 barrels of oil equivalent per day, excluding Libya, driven by strong performance across our portfolio. Net production in Libya was 6,000 barrels of oil equivalent per day in the second quarter. For the full year 2017, we now expect net production of 305,000 to 310,000 barrels of oil equivalent per day excluding Libya, which is at the upper end of our previous guidance, even with the sale of our Permian EOR assets that have net production of approximately 8,000 barrels of oil equivalent per day. Production growth resumes beginning in the third quarter. And fourth quarter production is expected to average 7% to 10% higher than last year's fourth quarter pro forma for the sale of our Permian EOR assets. In addition, we expect next year to show strong growth driven by higher activity levels in the Bakken, a full year of production from the North Malay Basin, the startup of the Stampede field, and a full year of drilling at Valhall. In summary, we are well positioned to deliver value-driven growth to our shareholders with our strong short cycle position in the Bakken, our two offshore developments in North Malay Basin and Stampede expected to deliver a combined 35,000 barrels of oil equivalent per day and our world-class development in Guyana, which also offers significant further exploration potential. We continue to prioritize a strong cash position and balance sheet to fund this growth, which we believe will create compelling value for our shareholders for many years to come. I will now turn the call over to Greg for an operational update.
Gregory P. Hill - Hess Corp.: Thanks, John. I'd like to provide an update of our operational performance in 2017 as we continue to execute our E&P strategy. Starting with production, in the second quarter, we averaged 295,000 net barrels of oil equivalent per day, excluding Libya. This was 14,000 barrels of oil equivalent per day above the midpoint of our guidance range of 275,000 to 285,000 barrels of oil equivalent per day, reflecting strong performance across our portfolio, particularly in the Bakken. The third quarter will be a major inflection point for us in terms of production growth. We forecast net production to average between 295,000 and 305,000 net barrels of oil equivalent per day, excluding Libya. The startup of production from the North Malay Basin Full-Field Development is expected to more than offset the impact of the sale of our Permian EOR assets, as well as a now completed unplanned 10-day shutdown in July at the JDA in the Gulf of Thailand to replace a flare tip. Our positive production momentum will continue in the fourth quarter, with a full quarter of production from North Malay Basin, a continuing ramp up in the Bakken, and as we bring online new wells at the Valhall Field in Norway and our Penn State field in the Gulf of Mexico. As John noted, given our strong operating performance year-to-date and even with the sale of our Permian EOR asset, which is currently producing about 8,000 barrels of oil equivalent per day, we now forecast full year 2017 production to average between 305,000 and 310,000 barrels of oil equivalent per day, which is the upper end of our previous guidance range. Turning now to onshore operations, net production from the Bakken averaged 108,000 barrels of oil equivalent per day for the quarter, significantly beating our guidance of approximately 100,000 barrels of oil equivalent per day, as the productivity of our new wells continues to perform higher than forecast. As noted in our last call, we added a third operated rig in the Bakken in March and a fourth in April. As a result of our strategy to preserve capability during the downturn, we were able to onboard these two rigs safely and with a high degree of efficiency. During the second quarter, we drilled 23 wells and brought 13 new wells online compared to the year-ago quarter when we drilled 20 wells and brought 26 wells online. We also completed 14 wells in the quarter. We continue to test higher stage counts and proppant loading in line with our focus on maximizing the value of our DSUs. We currently have six 60-stage wells online and 11 wells completed with proppant loading of up to 140,000 pounds per stage. While still early days, we continue to be encouraged by the initial results from our new completions. Drilling and completion costs for our 60-stage 70,000 pound per stage wells are averaging between $4.5 million and $5 million, which is approximately $0.5 million below our initial guidance range. This result reflects our distinctive Lean manufacturing approach, which continues to drive improvement in our operations. Drilling and completion costs for the higher-proppant wells are in line with our previous guidance of $5.5 million to $6 million. To mitigate the risk of rising sand prices, in the second quarter, we pre-purchased our sand requirements for the balance of 2017, which is expected to save us between 15% and 20% versus current spot prices. Based on encouraging production performance from our trials and the positive outputs that our predictive models are showing, we have decided to move to 60-stage completions as our new standard, while continuing to evaluate the impact of higher proppant loadings up to 140,000 pounds per stage. Early results and predictive model outputs suggest a potential 10% to 15% uplift in EUR as a result of the higher stage counts and proppant loading. In addition, we are able to raise full year 2017 average IP 90 guidance to between 800 and 850 barrels of oil per day, an increase of 100 barrels of oil per day compared to our earlier guidance. The material increases in performance that have been achieved this year now allow us to hold Bakken production flat with 2.5 rigs versus 3.25 rigs required a year ago. Given the strong performance of our Bakken wells in the first half of the year, we forecast net Bakken production for the third quarter to average between 105,000 and 110,000 barrels of oil equivalent per day and the fourth quarter to average between 110,000 and 115,000 barrels of oil equivalent per day. This results in an increase to our full year guidance for the Bakken of 5,000 barrels of oil equivalent per day to approximately 105,000 barrels of oil equivalent. Now moving to the offshore, in the deepwater Gulf of Mexico, net production averaged 51,000 barrels of oil equivalent per day over the second quarter, as planned shutdowns were successfully completed at non-operated host facilities for the Conger and Llano fields. No significant shutdowns are planned for the third quarter and production is forecast to average between 60,000 and 65,000 barrels of oil equivalent per day for the Gulf of Mexico. We also successfully drilled a new production well in the Penn State field. The well is currently being completed and is expected to be online in the fourth quarter. In Norway, at the Aker BP operated Valhall Field in which Hess has a 64% interest, net production averaged 24,000 barrels of oil equivalent per day over the quarter. We drilled and are currently completing the first well of a seven well campaign and have spud the second well. The first well was drilled 38 days ahead of schedule and is now expected to come online late in the third quarter. A 10-day shutdown is planned for the third quarter, over which net production is expected to average approximately 23,000 barrels of oil equivalent per day before increasing to approximately 29,000 barrels of oil equivalent per day in the fourth quarter. Moving to offshore developments. First gas was introduced to the platform on July 10 from the Full-Field Development of the North Malay Basin in the Gulf of Thailand, in which Hess holds a 50% interest and is operator with Petronas as our partner. The North Malay Basin project delivery was achieved with first gas only three years after project sanction. We are still in the process of commissioning but expect net production to build to approximately 165 million cubic feet per day net during the third quarter and the asset to become a significant long-term cash generator for the company. At the Stampede Development in the deepwater Gulf of Mexico, in which Hess holds a 25% working interest and is operator, the Tension Leg Platform was installed and hook up and commissioning are progressing to schedule. One well has been drilled and completed and completion operations are underway on the second and third wells. First oil is planned for first half of 2018. Now moving to the offshore Guyana. In June, we sanctioned the first phase of the multi-phased development of the Liza Field, in which Stabroek Block operated by ExxonMobil and in which Hess holds a 30% interest. This is an asset of exceptional scale with a high quality multi-DRC (20:57) permeability reservoir and attractive financial returns at oil prices down to $35 Brent. Phase I will utilize a leased floating production storage and offloading vessel that will have the capacity to process up to 120,000 barrels of oil per day. First oil is expected by 2020, only three years after sanction. With regard to the continuing exploration and appraisal of the Stabroek Block, as John noted, in mid-June we announced positive results for the Liza-4 well where we encountered 197 feet of high-quality oil-bearing sandstone reservoirs. Yesterday, ExxonMobil announced the successful result of the Payara-2 well, which encountered 59 feet of high-quality oil-bearing sandstone reservoir. This positive result increases the gross discovered recoverable resource at Payara to approximately 500 million barrels of oil equivalent confirming the partnership's second giant oil field discovery in Guyana. The well results increase the currently discovered gross recoverable resource on the Stabroek Block to between 2.25 billion and 2.75 billion barrels of oil equivalent. We plan to continue to progress exploration of the wider Stabroek Block during the remainder of 2017 and 2018 where we see numerous remaining prospects across multiple play types representing multi-billion barrel unrisked upside potential on this 6.6 million acre block. Current thinking is that after completing the evaluation of Payara-2, the rig will move to the Turbid (22:44) prospect and then to the Ranger prospect. Earlier this month, we also announced early entry to Block 59 and Suriname together with our co-venture partners, ExxonMobil and Statoil, and in which Hess holds a one-third interest. This 2.8 million acre block shares a maritime border with Guyana and extensions of the play fairways that we see in Stabroek. Block 59 is also contiguous to the 1.3 million acre Block 42 and Suriname in which Hess holds a one-third interest with our co-venture partner Chevron and Kosmos. In closing, we have once again demonstrated excellent execution and delivery across our portfolio. Our production momentum continues with ever stronger results from the Bakken, the commissioning of the North Malay Basin Full-Field Development, and planned first oil from Stampede in the first half of 2018. Together with our partners in Guyana, we have sanctioned the first phase of development of the world-class Liza Field and the potential of the Stabroek Block continues to get bigger and better. I will now turn the call over to John Rielly.
John P. Rielly - Hess Corp.: Thanks, Greg. In my remarks today I will compare results from the second quarter of 2017 to the first quarter of 2017. In the second quarter of 2017, we reported a net loss of $449 million compared with a net loss of $324 million in the previous quarter. Turning to Exploration and Production, E&P incurred a net loss of $354 million in the second quarter of 2017 compared to a net loss of $233 million in the first quarter of 2017. The changes in the after-tax components of E&P results between the second quarter and first quarter of 2017 were as follows; lower realized selling prices reduced results by $51 million. Changes in sales mix driven by Gulf of Mexico maintenance reduced results by $26 million. Higher DD&A expense reduced results by $16 million. Unrealized losses due to crude oil hedge ineffectiveness reduced results by $16 million. All other items reduced results by $12 million for an overall decrease in second quarter results of $121 million. The E&P effective income tax rate was a benefit of 8% for the second quarter of 2017 compared with the benefit of 13% in the first quarter excluding Libyan operations. For the second quarter, our E&P sales volumes were under lifted compared with production by approximately 290,000 barrels, which did not have a material impact on our results. Turning to Midstream, in the second quarter of 2017, the Midstream segment had net income of $16 million which was down from net income of $18 million in the first quarter of 2017 due to a non-recurring charge of $3 million related to our Permian midstream business. EBITDA for the Midstream, before the non-controlling interest, amounted to $96 million in the second quarter of 2017, compared to $94 million in the first quarter of 2017. Turning to Corporate, after-tax corporate and interest expenses were $111 million in the second quarter of 2017, compared to $109 million in the first quarter of 2017. Turning to second quarter cash flow, net cash provided by operating activities, before changes in working capital, was $332 million. The net decrease in cash resulting from changes in working capital amounted to $167 million. Additions to property, plant and equipment were $480 million. Net proceeds received by Hess Corporation from Hess Midstream Partners IPO were $175 million. Proceeds from asset sales were $79 million. Net repayments of debt were $52 million. Common and preferred stock dividends paid were $90 million. All other items were a net increase in cash of $9 million resulting in a net decrease in cash and cash equivalents in the second quarter of $194 million. Changes in working capital during the second quarter included non-recurring payments totaling approximately $130 million related to line fill for the Dakota Access Pipeline, termination payments for an offshore drilling rig, premiums on crude oil hedge contracts and prepayments for frac sand in North Dakota. Turning to our financial position. Excluding Midstream, we had cash and cash equivalents of $2.45 billion, total liquidity of $6.8 billion including available committed credit facilities and debt of $6.035 billion at June 30, 2017. In August, we expect to receive net proceeds of approximately $600 million from the sale of our enhanced oil recovery assets in the Permian basin. Now to turn to guidance, first for E&P. Our updated 2017 guidance includes the anticipated impact of the Permian sale which assumes a completion date of August 1. We project cash costs for E&P operations in the third quarter to be in the range of $14.50 to $15.50 per barrel and $13 to $14 per barrel in the fourth quarter reflecting the impact of higher fourth quarter production from North Malay Basin and Bakken. The lower cash costs projected for the fourth quarter of 2017 will continue in 2018 with Stampede commencing production and Bakken volumes increasing. Full year 2017 cash cost guidance is now $14 to $15 per barrel, which is down from previous guidance of $15 to $16 per barrel due to ongoing cost reduction efforts and strong production performance. DD&A per barrel is forecast to be in the range of $25 to $26 per barrel in the third quarter of 2017, and $24.50 to $25.50 per barrel for the full year of 2017, which is up from previous guidance of $24 to $25 per barrel. The increase in the full year guidance is due to better performance by Tubular Bells and the Bakken, both of which have higher DD&A rates than the portfolio average. As a result, total E&P unit operating costs are projected to be in the range of $39.50 to $41.50 per barrel in the third quarter and $38.50 to $40.50 per barrel for the full year. Exploration expenses excluding dry hole costs are expected to be in the range of $65 million to $75 million in the third quarter with full year guidance remaining unchanged at $250 million to $270 million. The Midstream tariff is projected to be in the range of $130 million to $140 million for the third quarter and $520 million to $535 million for the full year, which is updated from previous guidance of $520 million to $550 million. The E&P effective tax rate excluding Libya is expected to be a benefit in the range of 10% to 14% for the third quarter. For the full year we now expect a benefit in the range of 11% to 15%, which is down from previous guidance of 12% to 16% due to a change in mix of operating results. Now for Midstream, we anticipate net income attributable to Hess from the Midstream segment to be in the range of $15 million to $20 million in the third quarter and $65 million to $75 million for the full year, which is updated from previous guidance of $65 million to $85 million due to the sale of our enhanced oil recovery assets in the Permian basin. Turning to Corporate, we expect corporate expenses to be in the range of $30 million to $35 million for the third quarter and full year guidance of $135 million to $145 million, down from previous guidance of $140 million to $150 million. We anticipate interest expenses to be in the range of $70 million to $75 million for the third quarter and $295 million to $305 million for the full year, which is unchanged from previous guidance. This concludes my remarks. We will be happy to answer any questions. I will now turn the call over to the operator.
Operator: Our first question is from Brian Singer of Goldman Sachs. Your line is open.
Brian Singer - Goldman Sachs & Co.: Start out in the Bakken, as you think about the decision to take that rig count or not to take that rig count up to 6 to 4, can you talk to some of the points of guidance you expect to make that decision, oil price et cetera? And it seemed like in the Bakken one of the reasons maybe beyond the productivity for the very strong production came from a higher mix of gas and NGLs, and can you talk more to how much more upside there could be on the gas and NGLs from flaring less?
Gregory P. Hill - Hess Corp.: Let me take your first question Brian. So what's going to drive the decision to increase the rig count, as John mentioned in his opening remarks, we're currently operating 4 rigs that, with the 60-stage fracs and the increased proppant levels, 4 rigs should deliver a production growth of approximately 10% a year over the next several years which is nearly the same production growth with 4 rigs that would've taken with 6 rigs a year ago. So because of those factors, the decision is really going to be based upon the crude oil outlook at the end of the year and also, will we continue to see higher and higher performance from those enhanced completions. So those are going to be the two things that we're going to be looking at. In regards to your NGL and gas, as you know, we just brought on the Hawkeye Facility in the first quarter and so we continue to gather more and more third-party volumes as we go through as well as our own volumes south of the river, so.
John B. Hess - Hess Corp.: Yeah, the oil and gas mix at the wellhead is the same. This is just a question of us capturing more gas due to south of the river having the infrastructure there, reducing our flaring footprint. So it has nothing to do with well performance.
Brian Singer - Goldman Sachs & Co.: Great, thanks. And then the follow-up, and I may have misheard but I think when you talked about the DD&A per barrel forecast going up attributed to stronger well performance than Tubular Bells and the Bakken. If the well performance is stronger, can you just talk to why that's increasing the DD&A rate versus lowering F&D costs/DD&A?
John P. Rielly - Hess Corp.: Sure. So from a forecast standpoint on Tubular Bells, Tubular Bells actually produced 19,000 barrels a day on average in the second quarter. And so when you calculate the DD&A, it's still based on the same reserves that we had at the beginning of the year. Now with production we may get an update in reserves as we move through the year, but as of right now with the quarter, you're using the same calculation. So all we're getting is more barrels with the same DD&A rate that we had previously. So the DD&A rate for Tubular Bells is above our portfolio average rate. So the more barrels it produces, it just increases our overall DD&A. And right now with the Bakken same thing, and we'll continue to see with the uplift in EURs, adding more and more reserves, but right now the Bakken DD&A rate is above our portfolio average. So as we bring on more volumes there, it does increase DD&A. All non-cash, all happy to get because both Tubular Bells and Bakken are delivering more cash flow as a result of it. But just from a pure accounting requirement on the DD&A, it just gives us a higher DD&A.
Brian Singer - Goldman Sachs & Co.: Got it. And so it sounds like it's more timing than not. Obviously, the IRR goes up if you're getting the production out more quickly, but do you think that the EURs in both areas are actually on the rise? Or in places like Tubular Bells, it is just that the production is getting out more quickly?
John P. Rielly - Hess Corp.: So they both are getting higher. So I mean you've heard what's been happening with our type curves in the Bakken, so we are producing. Our EURs are performing above our type curve forecast, which will obviously then lead to higher reserves. And Tubular Bells, as well, we're doing kind of the slow ramp and bringing it up to production. Tubular Bells is currently producing around 20,000 barrels a day. So we are getting, like you said, better returns and over time that will get into our reserve numbers.
Brian Singer - Goldman Sachs & Co.: Thank you.
Operator: Thank you. Our next question is from Arun Jayaram of JPMorgan Chase. Your line is open.
Arun Jayaram - JPMorgan Securities LLC: Yeah. Just wanted to first talk about the results of Payara-2 and what are the implications as we think about a potential Phase II in Guyana?
Gregory P. Hill - Hess Corp.: Yeah. Thanks, Arun. Well, obviously, this upsizes the resources quite substantially. So we've gone the range from 2.25 million to 2.75 million barrels of oil recoverable. So we are working with the operator now on planning and engineering studies underway for, obviously, additional phases of development. And as that comes to fruition, we'll provide additional information on those future phases. However, obviously, this increases the resources very substantially.
John B. Hess - Hess Corp.: Yeah. We're reasonably confident the operator is moving forward with a second ship (38:02), and with these recent results, there's a strong likelihood we'll have a third ship (38:07).
Gregory P. Hill - Hess Corp.: Yeah.
John B. Hess - Hess Corp.: But it's going to be phased over time. So it's going to be very manageable from a financial perspective. But the thing here it's going to give us an increasing resource base, put us on a very sustainable growth trajectory, but significantly lower our cost per barrel. That will give us resilient returns in a $35 or $40 [a barrel] world. So I think it's really going to advantage the company in terms of improving cash-on-cash returns once production comes on in 2020.
Arun Jayaram - JPMorgan Securities LLC: Great. And my follow-up, John, you mentioned in your prepared remarks about the potential for Hess to look at divesting some of your mature, higher-cost assets. Could you just maybe give us a little bit more color around that in terms of what you're thinking about and perhaps timing of when we could see something like this?
John B. Hess - Hess Corp.: Yes. No. Very fair. As we see, we're in the investment mode, which depending on oil price, may mean continuing having a financial deficit. I think it's very important to know that we will selectively use asset sales to fund that deficit. And you're talking about mature, higher-cost assets, very much as we did with our sale of EOR assets in the Permian. But the key thing here is our growth is underpinned by the four key assets we talked about: 70% of our CapEx, the Bakken, the two developments offshore in the Gulf of Mexico, Gulf of Thailand and Guyana. Our other assets actually do play an important role in the portfolio in terms of cash generation with growth potential as oil prices improve. But we will selectively look at some of those assets in the normal course of business if it makes sense to sell them to continue to optimize our portfolio, very much as we did with the Permian.
Arun Jayaram - JPMorgan Securities LLC: Thanks a lot, guys.
Operator: Thanks. Our next question is from down Doug Leggate of Bank of America Merrill Lynch. Your line is open.
Doug Leggate - Bank of America Merrill Lynch: Thank you. Good morning, everybody. A quick follow-up to Arun's question, if I may, so all we understand in Payara right now is that the rig is still in location. Can you speak, Greg, to the pre-drill and the prognosis for the deeper well (40:31) that was going to be targeted as well? Has that been penetrated? Or are you still on location?
John B. Hess - Hess Corp.: Yeah. I might pick that one up, Doug, because we've coordinated this with the operator and our partner ExxonMobil. First, I think the most important thing here is the Payara-2 appraisal well was very significant. It confirmed a second giant oil discovery in Guyana and also increased the gross discovered recoverable resources just from Payara to 500 million barrels of oil equivalent. So it's going to be very economic. It's going to be a great investment and great return. And the key opportunity we have there, as you know, was we were able to deepen the Payara-2 well by only approximately 300 meters, or 1,000 feet, to evaluate a deeper exploration objective, which provided a low-cost opportunity to evaluate a potentially material prospect. I can say now, this is the same position from our partners as well, the well encountered high-quality sands. They were water-bearing, but they had oil shows throughout. So the results were and are very encouraging, from both the reservoir quality and hydrocarbon system perspective, and evaluation of the well results is ongoing. And I think the other key point is there is considerable resources discovered to-date, but we see additional multibillion barrels of unrisked exploration potential in the Stabroek Block ahead of us.
Doug Leggate - Bank of America Merrill Lynch: Appreciate that answer, John, and maybe just sticking with Guyana very quickly, because the pacing of cash flows is obviously a question that folks are asking. When you look at the development scenarios, are you still comfortable that Liza early production phase essentially self-funds subsequent phases? And if you could clarify the tax position, because I understand that PSC was ultimately published by the press earlier this year, so if you could address that. And I've got a quick follow-up in the Bakken, please.
John P. Rielly - Hess Corp.: Sure. So from the funding, you saw in our release, right, that it was approximately $950 million is the capital associated with the first phase, with $110 million already in our budget this year, going to $250 million, then to $330 million, and the remainder split between 2020 and 2021, so very manageable within our capital budget. And the way we think about it, although nothing has been set yet with the operator, but if you're going to get to our second FPSO, you're probably talking a two to three-year period from today where we'll really start the same type of process. So if you take a look at that same phasing, that phasing will happen again two years from now. And then we will have the production startup of Liza Phase I. And as typical in a PSC, you can begin to get your cost recovery of your cost bank. And that will help fund the second phase. Now specifically on taxes, Doug, I am limited, because the terms are confidential, as you said. I know there's been some PSC leaked, but we can't talk about it with specifics, except to say I think, as both John and Greg have mentioned, that when we run out and you run out to like the Liza Phase I economics, this provides good returns down to $35 Brent. So, again, with the quality of the reservoir, the lower cost environment we're seeing offshore, and the combination with the PSC provides that good returns down to $35 in Guyana. It really truly is an exceptional discovery and development.
Doug Leggate - Bank of America Merrill Lynch: Thanks, John. My quick follow-up is to, Greg, very quickly on the guidance of the revised type curves in the Bakken. Does that include the higher proppant loading or just the move to 60 stages? And I'll leave it there. Thanks.
Gregory P. Hill - Hess Corp.: No, I think that when we said upsizing by 10% to 15%, that assumes a higher proppant loading as well. Now what I can't tell you, Doug, is are we going to settle on 120,000 pounds per stage, 140,000 pounds per stage, 130,000 pounds per stage. We're still in the midst of basically figuring that out. But the early results from the 11 wells that we have online with 140,000 pounds per stage is very encouraging. So that gives us confidence to say that this is a 10% to 15% uplift in the EUR. It also allowed us to increase our IP90s by some 100 barrels a day on average for the remainder of the year. So it's a combination of both.
Doug Leggate - Bank of America Merrill Lynch: Thanks, everybody.
Operator: Thank you. Our next question is from Bob Morris of Citi. Your line is open.
Robert Scott Morris - Citigroup Global Markets, Inc.: Thanks. Greg, just following up on the Bakken question. You mentioned the 10% to 15% uplift in EUR, but looking at the IP90s in the second quarter versus the first quarter, those were up about 30% and I know some of that is the additional gas capture. But how much of that is just contribution from those 11 wells with 140,000 pounds per stage that may have been on for 90 days, I don't know how many were online for 90 days, but how would you reconcile the much higher uplift in IP90s you saw in Q2 versus Q1 for what wells were online?
John B. Hess - Hess Corp.: Yeah, okay. So a good question. So really the Q2 IP90 performance was very good because we're drilling in the core of the core, which is the Keene area. And that's really the best area that we have in the core of the Bakken. And those wells were actually performing even higher than what our forecast was. Now as we go into the second half of the year, we're going to move outside the Keene area with a couple rigs. They're still good wells. They're just not as good as Keene, but they're still very good wells.
Robert Scott Morris - Citigroup Global Markets, Inc.: Okay.
John P. Rielly - Hess Corp.: Hey, Bob, the only other thing – I just wanted to add is those IP90s are only oil. Those are barrels of oil, so it has nothing to do with gas capture.
John B. Hess - Hess Corp.: That's true. Good point
Robert Scott Morris - Citigroup Global Markets, Inc.: Okay. Yeah. So that's even better. All right. Great. Second quick question, you confirmed that in Guyana the next two prospects will be Turbid (47:01) and Ranger, given how fast these wells are drilling I would expect that you would have results on both of those by year-end. Would that be correct?
Gregory P. Hill - Hess Corp.: Well, obviously, that depends upon evaluation and kind of what you find. But yes, I mean, most likely we would have results in both by year-end.
Robert Scott Morris - Citigroup Global Markets, Inc.: Great. Okay. Thank you.
Operator: Thank you. Our next question is from Guy Baber of Simmons. Your line is open.
Guy Baber - Simmons & Company International: Thanks very much. Just wanted to continue the discussion here on Guyana and the exploration program going forward and the multibillion barrel potential you all have talked about. Can you talk a little bit more about Turbid (47:41) and Ranger, what type of prospects those are? Where they might be located on the block? And then just at a high level, how are you thinking about that pace of that program through 2018, maybe how many exploration wells you might plan to target over the next 12 to 18 months or so?
Gregory P. Hill - Hess Corp.: Yeah, Guy, thanks for the question. So let's start with Turbid (48:07), so Turbid (48:08) is very similar to Liza, meaning it's a stratigraphic play type that is on this rim of the bowl that we've talked about. It's to the southeast of where Liza is located. And then if you move to Ranger, Ranger is further out in the basin and it is a very different play type, which appears to be a carbonate buildup with on-lapping sediments, very large structure but they are very different play types. So again, Turbid (48:43) is more akin to Liza kind of a play type, whereas Ranger is completely different kind of play type. As far as a go-forward on exploration, remember, we have until 2026 to explore on the block, so effectively nine years from where we are today. The pace for next year, you can assume a one rig kind of pace doing exploration. So that's about $150 million a year or so in net to Hess. And within that exploration campaign next year, there may be some more appraisals on Liza because we see more upside on Liza as well.
Guy Baber - Simmons & Company International: Very helpful. Thank you. And then you all mentioned using or potentially looking at the portfolio and asset sales in part of the funding mechanism for shortfalls. Can you also talk about what the potential might be for drop-downs into the MLP type of cash that that could afford the parent? Just trying to understand at a high level the runway there, kind of what the ultimate opportunity for drops might be? How you might think about that just from a high level in terms of the pace as well?
John P. Rielly - Hess Corp.: Sure. So I'll address that. And we do view this as a win-win for Hess and for our midstream business as well. So what we would be thinking of drops is nothing imminent that would go from the JV we have down to the MLP because this is a public entity because of the organic growth that both John and Greg have laid out that we had with our four-rig program. What we are working with on our JV partner is we have within Hess still plenty of 100%-owned type midstream assets that we could put in the top-tier JV such as our North Dakota water-handling business, which we've spoke about. So that is something that can be dropped into the JV, and then later, so it bumps up the EBITDA runway at the top level and that asset then subsequently can be dropped into the public vehicle as the EBITDA growth continues in the MLP. There are other assets that we have in North Dakota, other 100%-owned assets besides the water handling that we'd be looking to put in. And then we'd look across our portfolio, even including assets in the Gulf of Mexico, such as like our Stampede TLP. So there's other types of assets that we'll be looking at it and it will be part of, kind of, as I said, a win-win part of our funding in this lower-price environment for Hess, and it's giving more EBITDA runway to the midstream business.
John B. Hess - Hess Corp.: Yes. I think the key takeaway here is continued tight capital and expense controls, selective asset sales of mature higher-cost per barrel assets using the MLP as a future funding mechanism, altogether with Guyana and our growth opportunities that we're investing in put us on a trajectory to be cash generative in a $50 world once Guyana comes on. And I think that's the key takeaway and that's the objective for our company.
Gregory P. Hill - Hess Corp.: And the last thing I'd add, Guy, to your question on the play types, these play types are also what we see extending into the Suriname blocks, which is why we've gotten an interest in two of those as well.
Guy Baber - Simmons & Company International: Very helpful. Thank you, guys.
Operator: Thank you. Our next question is from Roger Read of Wells Fargo. Your line is open.
Roger D. Read - Wells Fargo Securities LLC: Yeah. Thanks. Good morning. And...
John B. Hess - Hess Corp.: Good morning.
Roger D. Read - Wells Fargo Securities LLC: ... good to be back on the call after, I think, two years or something like that. Anyway...
John B. Hess - Hess Corp.: Welcome.
Roger D. Read - Wells Fargo Securities LLC: ...just to get to Guyana, the $35 breakeven, if I remember correctly, $40 was the number. Can you give us an idea of is it just the greater reserves? Or is there something else you detected in the appraisal wells that's helped lower that breakeven number?
Gregory P. Hill - Hess Corp.: No. I think there's a number of factors why the breakeven is what it is. So let's start with the reservoir. Very prolific reservoir porosity, permeability, which means that your producers in Phase I are going to recover about 56 million barrels per well. Secondly, the wells are very shallow. They're only about 12,000 feet to 13,000 feet below the mud line, and don't have any of the typical drilling things that you would financial in the Gulf of Mexico that require multiple casing strings. So the well costs here are a third, call it, of the Gulf of Mexico. I think the third thing is that we're doing this at the low point in the cycle. So, FPSO, Surf, drilling, all those things are occurring at a low point in the cost cycle. And then finally, although we can't be specific, it has a good PSC that really helps you at these lower prices. So all four of those things contribute to the very low breakeven.
Roger D. Read - Wells Fargo Securities LLC: Okay. Great. That's helpful. And then to the Bakken just in general, the idea of you're in an outspend position obviously for the next couple years until Guyana does come online. As you think about I would imagine better well performance and maybe stable well costs, any desire to kind of step on the accelerator or to pull your foot off the gas kind of given let's say a sub-$50 oil environment just as a starting point for that?
Gregory P. Hill - Hess Corp.: Well, I think, as John said, I mean, the couple things that will govern that decision on certainly increasing the rig count will be oil price and the performance of these enhanced completions. I think in any case we're running the Bakken for value and for cash and not growth for growth sake, right. So I think that's a key tenet in how we're actually running the Bakken. Regarding decreasing the rig rate, I mean that is a potential opportunity if oil prices get low, even lower. That's a pin that we could pull if we have to. That's currently not our plan but obviously we could if we had to.
Roger D. Read - Wells Fargo Securities LLC: Just a...
John B. Hess - Hess Corp.: At the current rig count we have, we're very comfortable being at a four-rig rate in a $40 to $50 world. I think that's a key point.
Roger D. Read - Wells Fargo Securities LLC: Okay. I appreciate that. And just a quick follow up on that. If you did have to pull back at all, any contractual limitations on that? Anything you're kind of locked into? You mentioned buying the sand in advance, but I was just curious if anything else was kind of nailed down or committed.
Gregory P. Hill - Hess Corp.: Yeah. So we've got our rigs committed for three years and pumping for two. However, all of those contracts have flexibility in them both on the up and the down. So no major issue if we decided to reduce rigs. But as John said, that's not our plan. We're very comfortable with four rigs in the Bakken at this $40 to $50 range. I think another important point on that, we have over 800 wells that generate an after-tax return of 15% or higher at $40 WTI flat. So we've got a very healthy inventory of outstanding return wells.
Roger D. Read - Wells Fargo Securities LLC: Great. Thank you.
Operator: Thank you. Our next question is from Paul Cheng of Barclays. Your line is open.
Paul Cheng - Barclays Capital, Inc.: Hey, guys.
John B. Hess - Hess Corp.: Good morning.
Gregory P. Hill - Hess Corp.: Hey, Paul.
Paul Cheng - Barclays Capital, Inc.: Greg, earlier you said that Bakken you're going to run based on cash and value. As forward program, can you give us a rough idea then what oil price you need in order for you to be cash flow breakeven from Bakken?
John P. Rielly - Hess Corp.: So we're at – at current prices, Paul, we're generating significant free cash flow from the Bakken. So it would, as Greg said, we've got 800 wells that give 15% type returns at $40. So, look, I know you and I have talked about this in the past. On a cash cost level for the Bakken, it is below our portfolio average. So prices would have to go significantly lower to cause us not to be breakeven, not to have free cash flow.
Paul Cheng - Barclays Capital, Inc.: And, John, maybe I misread what you said. It sounds like you are saying that the Phase II for Guyana is going to be FID in 2019. Is that what you said because you're saying that the phasing of the next phase of the development would be two years out? Is that how I should interpret?
John P. Rielly - Hess Corp.: So what we were talking about is how the phasing of capital on a second phase. So this you really should ask the operator on the timing of that phasing. But now with the results of Liza-4 and it being so good and now Payara-2 again getting up to 500 million barrels, we feel pretty confident that there's going to be a second FPSO. So now it's timing with the operator is we sanctioned Liza-1 here this first one in 2017, so somewhere I was just estimating in a two- to three-year period it should be sanctioning the second one.
Paul Cheng - Barclays Capital, Inc.: Right. I guess my question on there is more like (58:55) I thought we go for the early production in Phase I upon these (59:03) also using it as an extend or sanction test (59:04), I suppose. And you're going to incorporate that into the Phase II and Phase 3, if there is a Phase 3. And so from that standpoint, should we look at this such that you're not going to sanction it until the Phase I startup, or that you might actually sanction it say a year before? So I'm trying to understand, not trying to pin you down on the exact time, but the thinking that how the Phase I development is going to be used?
Gregory P. Hill - Hess Corp.: Yes. So, I think, Paul, there will be dynamic data that we're gathering as part of Phase I, but you should think about that as a parallel path with doing FEED on Phase II. So as you're learning, as you're going, you'll incorporate those learnings because it's really going to come down to the dynamic data is going to give you learnings on the well behavior. And so that won't really make a difference until later in the project, the Phase II project. So parallel path, dynamic learning as you go and incorporating those as you are building and drilling Phase II.
Paul Cheng - Barclays Capital, Inc.: And John, when you cut the CapEx by $100 million this year, is that a reduction the nature is (1:00:25) because some work being postponed? Or simply just on the efficiency gain, and if that's the case, is that all from Bakken or from where?
John P. Rielly - Hess Corp.: So, it really isn't an activity-based reduction. It really is efficiency and cost reduction efforts. I mean you've seen what's been happening on the cash cost side, so day-in and day-out we're focusing on reducing cost on the OpEx and capital. And Bakken actually isn't the biggest driver of our CapEx budget reduction because we actually are moving, as Greg said, to the 60 stages in the higher proppant. What we've been able to do with efficiency there though is not increase the budget in Bakken even with moving to that. So then it's more across the portfolio, you heard North Malay Basin did start up a little bit early, so we've had some reductions from North Malay Basin. I think you've been hearing where Stampede is, that it's out in the Gulf, so we've actually got some reductions there as well. And then the remaining pieces, it's just across the portfolio.
Paul Cheng - Barclays Capital, Inc.: Okay. My final question and just one comment. The final question is that if after the Stampede and North Malay ramp up to keep your production flat and the mix between oil and gas steady, any rough idea what is the annual CapEx requirement today based on that? And the final one is just a request on the Midstream to see whether that you can continue to provide more of the segment detail breakdown in your press release. Thank you.
John P. Rielly - Hess Corp.: Sure. Let me answer your second one first. The only reason we don't have the Midstream information in this press release because, as John mentioned in his opening remarks, is Hess Midstream Partners, now it's a public company, is having its first earnings call tomorrow. So after the Midstream earnings call tomorrow, we will post in our supplement all the Midstream information that we had previously provided. So we just didn't want to front run their earnings call. As far as capital to maintain kind of our oil gas mix, our production type flat, the typical way I look at it is, take your number of barrels that you are producing in a year, this can be for any company, Paul, and then pick your F&D rate. If it's $15, if it's $20, so with us, if you're using anywhere a range of $15 F&D to $20 F&D, you're in that 1.7 billion to low 2 billion barrels to be able to maintain production at a flat range. So it is there. With Guyana, obviously, we've got some low F&D type projects coming into the portfolio as well as Bakken. But over the long run, that's to me a typical way to look at how you can maintain your production flat.
Paul Cheng - Barclays Capital, Inc.: Thank you.
Operator: Thank you. Our next question is from Ryan Todd of Deutsche Bank. Your line is open.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thanks. Maybe just as we look into 2018 maybe a follow up on CapEx. As we think of the moving pieces on capital, can you remind us of and maybe as we think of the next, maybe even 2018 and 2019, how much spend will be rolling off versus incremental spend could be ramping? I mean, if we were to hold at a four-rig program, how low could the capital budget trend over the next couple of years?
John P. Rielly - Hess Corp.: Sure. So, assuming the four-rig program and let me just at least do 2018 versus 2017, so we have four rigs in 2018. On an average this year, we're going to be running three-and-a-half rigs in the Bakken. The other thing will be, for 2018, we'll be using right from the start, the higher stage counts and the higher proppant loading, whatever that level is. So Bakken capital will go up in 2018 for both those reasons, but not a tremendous amount, but there will be an increase there. The other, let's just go what else would increase in the portfolio. As you know, the Phase I of Liza was sanctioned. We had $110 million in the budget this year. It's $250 million in 2018, so that will be where the other increase is. Then offsetting those is both North Malay Basin and Stampede. So we have about $700 million of capital this year. Look, we will be providing guidance as normal in our January call, but you could look at somewhere around $400 million between the two on North Malay Basin and Stampede. So that will be a significant offset. We had some drilling going on in the Gulf of Mexico, which looks like will be reduced in 2018 as well. So hopefully, that can give you just general levels of where CapEx are and we'll update in 2018.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thanks. Sorry, and on North Malay and Stampede, is that it could be down $400 million? Or it could be down from $700 million to $400 million?
John P. Rielly - Hess Corp.: Oh, sorry. Yes, it'll be down from $700 million to $400 million. And then the only other thing I just remembered is with Valhall, we did start the platform rig a little bit later in 2017, so we'll be running that platform rig for the full year in 2017. So it could be a slight increase in Valhall's capital.
Ryan Todd - Deutsche Bank Securities, Inc.: Okay. Thanks. That's very helpful. And then maybe one follow-up on the Bakken, it's a great update there on well performance. Can you talk about how we should interpret those across the broader extent of your acreage and maybe across like the 2,800 wells of inventory that you talked about? Can you do the 60-stage fracs? Is that going to become the base case across the broader acreage position? And the 800 to 850 barrels a day of the IP90 rates, is that across the smaller subset in the core? Or is that broadly applicable you think across a larger portion of the 2,800 wells that you have of inventory?
Gregory P. Hill - Hess Corp.: Yeah. Ryan, so the 60-stage will have broad applicability. So that has become our standard design now in the core of the Bakken. Recall we've got about 1,500 wells that generate 15% or higher after-tax return at $50 per barrel. Now that number was based on our old design, 50-stage, 70,000 pounds per stage. So as we update our models, we expect that that number will get even higher of the number of wells that breakeven at 50. So breakevens are going down, EURs are going up, IP90s are going up, all of which bodes pretty well. So the one piece of data that we can't be exact on yet is what is the proppant loading going to be? 140,000 pounds look good. We're trying to find the edge of the interference. We might back off a little bit from that, and hopefully by the end of the year and going into 2018, we can be more definitive on exactly what that proppant loading is going to be, but 60-stage is now the standard.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thanks, Greg.
John P. Rielly - Hess Corp.: Hey, Ryan, just to make sure I got the message out to you on CapEx. So with all those in and outs that I talked about here, you should not expect our CapEx really to be going up next year because of the reductions in North Malay Basin and Stampede and as well as the lower CapEx in the Gulf of Mexico, we'll be staying in the low end of that $2 billion range. So just to make sure I got that clear with you.
Ryan Todd - Deutsche Bank Securities, Inc.: Yeah. I know. That makes sense. Thanks.
Operator: Thank you. Our next question is from Paul Sankey of Wolfe Research. Your line is open.
Paul Sankey - Wolfe Research LLC: Hi, everyone.
John B. Hess - Hess Corp.: Hi, Paul.
Paul Sankey - Wolfe Research LLC: Hi, you referenced a tremendous number of moving parts, several of them very positive. And you've talked about, for example, $35 oil is a decent return for Guyana. But at the same time, you've referenced the current oil price as being a current low-price environment, which isn't suggested by the strip. Can you update us on the highest level on where you're aiming the company for in terms of the oil price that you assume, and what you're going to need just to break even in terms of your CapEx, your growth? What type of growth you would want at what type of price? And of course your earning? Thanks.
John B. Hess - Hess Corp.: Yeah. Paul, we're assuming $50 as the oil price that we're going to have for some time, and while we're in the investment mode now because of Guyana, and we earn very good returns in the future from that, and also the Bakken as well at the four rig count, we're putting the company to be in a position that when Guyana comes on in a $50 world, we will be cash generative.
Paul Sankey - Wolfe Research LLC: And could you just continue that into the Bakken, John, because I think in the past, you've spoken about $60. It seems that's changing, could you just update me on where that's going to be?
John P. Rielly - Hess Corp.: From the Bakken, again, to make sure I get this out. Right now, at these prices or lower, the Bakken generates free cash flow. And, as Greg mentioned, we've got 800 wells, even at $40 WTI that generate 15% return. So, as John said, we do have deficits right now. Our target over that medium-term, once Liza comes onstream, is to be net cash flow positive, $50. That's post-dividend as well. And we believe we can do that while providing attractive and competitive rates of production growth and returns. So currently where we are right now, our cash flow from operations, say, in 2017 covers all our producing assets capital, and our dividend at these current prices. As we move into 2018, though, our North Malay Basin and Stampede projects will become cash generators. So again that's going to help lower that deficit. And then what we'll do until Guyana comes onstream, is we'll continue to use our strong cash position, remember we have the Permian asset sale coming in the third quarter, to supplement our cash flow to fund those growth projects which is Bakken, we're going to keep with the Bakken and four rigs, especially at the current prices as you've heard, because it does generate good returns. And then Guyana and because of the value that both Bakken and Guyana generate for us, and we're past the development spend on North Malay Basin and Stampede, we can drive to have an increase in cash flow, free cash flow position post Guyana coming on in a $50 world.
Paul Sankey - Wolfe Research LLC: Thank you. That's exactly what I wanted to hear. And could you just continue that into earnings please, John? You've mentioned and explained the slightly confusing DD&A that you mentioned earlier in the call. But when can we expect to see earnings positive?
John P. Rielly - Hess Corp.: Earnings is going to be the non-cash DD&A obviously, we have that high rate that we go on right now. Bakken and Guyana will continue to drive down that rate as Bakken reserves get added, and then as well as additional reserves we get booked with Guyana, and that production comes onstream. The exact point, Paul, I don't know. The breakeven on net income will follow kind of the cash flow, free cash flow numbers, so again it will be post Guyana.
Paul Sankey - Wolfe Research LLC: Great. And then just as a follow-up, it seems that you're not being rewarded for a mixed business model that the market wants focus. When you talked about the potential for disposals, is there a potential for a major further restructuring so that you get rewarded for the quality of some of these assets without sort of mixing them and being diluted by the market valuation of mixed business models, which seems to be structurally lower for less focused companies? Thanks.
John B. Hess - Hess Corp.: Yeah, with all due respect, Paul, when you model us versus I would say other companies that have balanced portfolios, I actually think we're holding our own. So I guess beauty is in the eye of the beholder, but from the numbers we've run we're actually starting to get recognition that what we have in Guyana is truly game changing. In our investor pack we show that the returns it will generate, the EURs per well, the cost per barrel like $7 a barrel development cost is quite distinguishing. And so when you compare our business model versus the pure plays, whether it's offshore or shale, we actually, I'd say, are probably holding our own in the middle of the pack, now we want to be at the top of the pack, and I think as we execute our strategy, we will. So I think that's the takeaway that I would respond to you with.
Paul Sankey - Wolfe Research LLC: Thanks.
Operator: Thank you. Our next question is from Jeffrey Campbell of Tuohy Brothers. Your line is open.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: Good morning, and congratulations on the continuing uplift in the resources offshore Guyana.
John B. Hess - Hess Corp.: Thank you.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: I just want to ask two quick questions back on the theme of the material asset sales. The first one being, just being an asset operator such as the South Arne versus being a non-op interest holder such as at Valhall, will that have any material influence on your thinking in the future?
John B. Hess - Hess Corp.: Well, I wouldn't want to speculate on any asset sales. Being an operator offshore is fundamental to our strategic positioning going forward. Being an operator in the unconventionals is fundamental as well. It also helps us when we are a partner with someone else who is an operator. So we're going to stay as an operator, both onshore and offshore. And whatever selective asset sales we have in the future, we'll be focused on maximizing value, bringing value forward and lowering us on the cost per barrel curve, and there will be some selective opportunities that we look at as we go forward to meet some of our funding gap to fund our growth opportunities. And remember, John Rielly pointed out that we'll be also looking at the MLP as well, or our joint venture above the MLP.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: Right. No, that was very interesting color, I thought. Bearing in mind the desire to lower the corporate BOE costs, are there portions of the Bakken that could actually be a potential sale at some time if you needed it? And one reason I'm asking this is because I remember not too long ago there was a discussion about maybe experimenting with plug-and-perf and cemented liners and that sort of thing in the less than core acreage to see if, perhaps, results could be improved. So I'm just kind of wondering what you're thinking about the Bakken outside of your obviously identified core.
John P. Rielly - Hess Corp.: So just as an example, earlier this year, we did do a sale. It was approximately $100 million for what we were considering non-core acreage that we wouldn't get to because of the quality of our DSUs still sometime in the future. And so, again, it's an example. As John said, we're going to look where the value is. It was worth more to someone else because they were going to drill it earlier than we would, and we did do that sale. So what we do is try to work together with our midstream business to get the overall best integrated value that we can for both Hess and the midstream on our acreage. And so could further sales of non-core acreage happen in the Bakken? Yes. Yes, that could happen.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: Okay. Great. Thanks. I appreciate the color.
Operator: Thank you. Our next question is from John Herrlin of Société Générale. Your line is open.
John P. Herrlin - Société Générale: Yeah. Hi. Just some quick ones from me. Greg, you said that the wells were running at about a third of Gulf of Mexico in Guyana. So what would be the completed well cost be? About $40 million or less?
John P. Rielly - Hess Corp.: Hi, John. It's John. The well cost in Guyana, so we're not being specific; we've got to ask the operator. So what has been happening for us and the numbers that you know out there are on, let's just call it, a dry hole cost. If you're just going down to the bottom to TD on an exploration well, it's only net to us, like $15 million, okay? So gross that up, it's like $50 million for a direct dry hole. So then you get into on our exploration wells on whether we're coring or testing, there's going to be more. And then the overall development wells, the cost of those wells are baked into that overall gross $3.2 billion of the development cost, but we have not broken out individually the wells, and I guess that would be more for the operator to do.
John P. Herrlin - Société Générale: Okay. That's fine. In the Phase I, Greg also mentioned that there was 56 million barrels in recovery. So are you looking at about 10 producers?
John P. Rielly - Hess Corp.: It's actually eight producers.
John P. Herrlin - Société Générale: Okay. Good. That's fine. And since you're on the phone, John, how much was, for the working capital changes, the incremental sand, the rig contract and the pipe-fill? Can you break it down?
John P. Rielly - Hess Corp.: So we weren't going to be specific, so what I would tell you on the two biggest were the DAPL line-fill. It was 1.2 million barrels that we had to, as part of our being an anchor shipper in DAPL. So that was the biggest. The next one was the rig termination payment that we had. It was the rig that was working on Tubular Bells, and we've completed that, and this was the last payment on that. So those two were the biggest and then the remainder is between the hedge premiums and the frac sand.
John P. Herrlin - Société Générale: Okay. Great. Thank you.
John P. Rielly - Hess Corp.: You're welcome.
John B. Hess - Hess Corp.: Thank you.
Operator: Thank you very much this concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.